Kati Kaksone: Good morning, everybody, and welcome to Terveystalo's Q4 and Full Year 2025 Results Call and Webcast. As usual, we'll go through the results with our CEO, Ville Iho; and our CFO, Juuso Pajunen, and we'll follow that with a Q&A. My name is Kati Kaksonen, I'm responsible for Investor Relations and Sustainability here at Terveystalo. We'll take the questions via the phone lines first and then follow with questions via the webcast at the end of the presentation. Without further ado, over to you, Ville.
Ville Iho: Thanks, Kati, and good morning from cold and beautiful Helsinki. Let's dive into Terveystalo results 2025. It's again time to take a couple of steps back and look at how we performed last year. Sort of the big headline here is profitability and efficiency. If one looks at our performance, financial performance, we are delivering all-time high profitability. And as you can see later, across all of the segments, they are improving. If one looks at profitability, things are great. If one looks at quality of our services, things are great. On the other hand, of course, you can see that we are living in a market, which is not favorable. But that only underlines the efficiency of our operational and financial engine. We are able to produce robust results even during headwinds. Healthcare Services is post-cyclical industry. And now we can see in our services -- frequency of use of services, we can see a decline even though number of customers served during the year was the same as during 2024. But strong financials, declining revenue due to macro and post-cyclical nature of our business, very strong improving quality. Double-clicking into the performance of our 3 different P&Ls. Healthcare Services improving with a declining revenue, Portfolio Businesses improving with declining revenue and Sweden improving with declining revenue. All of these signaling the same story. Market is difficult, but we have been able, through our actions, to improve operating leverage, efficiency, improve our engines. And as you can see from a longer trend, clearly, the best results ever produced by Terveystalo, thanks to dedicated, focused work in our operations. Given the circumstances, the focus of our actions are, of course, tilt more and more towards customer and growth. In headlines, the agenda is intact, and we concentrate in Healthcare Services, of course, still in digital transformation, getting even more efficiency, productivity into our processes. But as I said, even more focus in customer value, generating growth through all of the segments, consumers, Kela 65 and insurance customers are focus areas where we are gaining ground. Occupational health care, we are investing heavily in renewing our products and services. We have 2-year program started last year, and we will invest EUR 20 million in products and services and renew those. And once the market turns, of course, we are stronger than ever. In Portfolio Businesses, we have said that we will fix the profitability and then we step into the growth. And from the results, you can see that we have delivered the profitability turnaround. And as you saw from our actions before year-end, we signed the deal on acquisition of Hohde in dental services. So we are really delivering on growth as well going forward. We are investing into that one. Sweden, similar kind of story. We have -- through our program, we have fixed the profitability. We are pleased with the results. Against very difficult market, we have improved the profitability. And now we are ready to invest and grow that part of the business as well. Hohde deal is a major milestone for Portfolio Businesses and specifically to dental. In our earlier CMD, we said that dental is part of our core offering. We will invest into that one. We will grow that one. We will double the business with -- while doubling the profitability. And this is a major milestone in that journey, not surprising, but a very logical one. The joint combination of Terveystalo Dental and Hohde will be a really, really strong and high-quality player, generating ever more value for our customers, for our corporate customers and consumer customers alike. And we are, of course, very excited and proud of this step. We have been leading digital transformation in outpatient care for quite some time, and we continue on that journey. If one looks at this transformation in a little bit more structured way, we can distinguish 3 different modalities that we continue investing in. So we have a more traditional hybrid integrated care continuum, which is still going to be physician-led. And there, we invest in better integration, higher efficiency, better toolkit for professional and better customer experience and patient experience for our customer. There, we have just launched a major new platform for professionals called Ella. So that's our professional interface whereby they are able to process appointments and care continuums in higher quality, higher efficiency manner. The info and data is more structured and steps logical and transparent, when a patient is moving from one step to another in care continuum. This will be further enhanced this Ella platform and scale during this year. But we can already see tangible results in -- after the launch. In the middle part, we are talking about algorithm-led digital health retail modality. And there, really the automation and no touch, very low click type of operation is the key. So when you enter into our services, you come from web app, then you are engaging with automated AI-assisted care and patient steering engine, then you are steered either to a traditional modality or to digital appointments either to more traditional chat type of service, which we will make more and more efficient or just recently launched semi-automated AI-assisted appointment modality where actually the target is that the whole appointment chain can be processed by a professional at the end of the development by single click. And this is really fast, really available service area, which we will further invest into. We have fast development pace in the area and investments yield results. Final domain in the transformation is insight-centric proactive care, where best example in our implementations now is MedHelp platform, which we will introduce during Q1 for occupational health customers, clever insights, clever use of data, activation of patients and customers in right time and situations and getting -- making a major step from reactive traditional health care modality into proactive insight-driven. The semi-automated appointment is exciting stuff. As I said, we just launched a couple of weeks back, this new chain of appointment activity from patient point of view. As I said, you enter into the services through -- typically through a app. Then you are engaging with the AI-assisted care steering engine, then that's directing you into -- if the diagnosis scenario is relevant, it will guide you into AI-assisted appointment cycle, where actually at the end of the development, when we are developing this one during this year further, professional is able to approve the diagnosis only by single click. And then you get your diagnosis, you get your guidance to whatever is the right action to do at the end of the cycle. Really exciting, complementing our already really efficient digital platform and providing us a direction to the future and further potential for better customer value, higher availability of services and at the same time, higher efficiency and profitability. With that one, over to Juuso.
Juuso Pajunen: Thank you, Ville. So let's talk about our financial performance. Obviously, it's already 100 minutes old report, so you know the numbers by heart. So let's start actually from the journey. Three years ago, I was standing here first time on telling quarterly results of '24 -- '22. And at that point of time, we had annual EBITA percentage of 8.4% and we thought that we are brave when we say that by '25, we will reach 12% EBITA. Actually, we reached that one already 1 year ahead of time, delivering 12.8% in '24. And this year, '25, we are delivering 14%. And now everything you see in these numbers, what comes to efficiency signal and proves that point that we have made a sustainable strong change in our operating model, and we are as efficient as one can be. And with Ville's description on the customer journey, one-click customer journey, we can still improve our efficiency. So where we are today is that in quarter 4, we are in all efficiency metrics strong. We have improved our EBIT. We have improved our margins. We have improved our EPS. We have not done that at the cost of our client satisfaction. Our appointment NPS is 87.6, which is extremely strong. Our medical quality indicator [ PEI ] is at all-time highs also. So we are efficient, we are impactful, and we are delivering financials. But at the same time, it is fair to say that we have revenue headwinds. Let's go through those ones a bit more in detail when we go on to the segment level. But all in all, quarter 4 highlights, we are strong, we are efficient, but we have market headwinds, and we will address those ones. If we then look on the whole group, we have positive margin development. So like I explained, we have the strength especially in our efficiency metrics. The revenue was under pressure in all segments, and we'll go then through on the segment levels. What we have in the megatrends is basic or in our trends. We have the outsourcing portfolio. We have the occupational health visits and the connected customers. So all of that one is actually a continuation already from Q3. Then when we are looking at the adjustment items, we had EUR 12.7 million. It is good to understand that majority of these ones are related on our efficiency actions, on our ongoing projects where we have taken an extra push in Q4. And a material part of those ones are consulting fees that are based on success. So they wouldn't be here unless we have been successful. And thus, of course, when the consulting assignments have now, especially in Sweden and material parts ended, we are in a positive place on that one. Then on top of that one, we had a write-off related to divestment of child welfare services. That one has actually now closed in 1st of February. So it will be totally out from our numbers starting 1st of February '26 onwards. That is a noncash related impairment. And then on top of that one, we had a tax dispute that contributed to these ones. So one-offs pushing our reported EBIT lower, but still also that metric is in a strong place. If we then go deeper and we start looking at Healthcare Services. So here, margin improvement, clear. Annual margin improvement, also strong, but we have the headwinds in the revenues. Visits are 7.6% down when adjusted for the 1 working day more in the calendar. And then we have other impacts slightly positive. But all in all, the revenue is 5% down. We will go a bit deeper into the visits and the volume growth in the following slide. But all in all, we have a strong plan, but we are also a post-cyclical company and post-cyclical by the industry logic. So we are just now under pressure, but with the efficiency that we have in our platform, we will turn this one around and with all of the actions we have in place. And the underlying megatrends have not gone anywhere. So this is by nature, seasonal and macro-driven. So as a post-cyclical company, the trends are continuing. We can split it now into different buckets. We have the seasonality. This is roughly 70,000 fewer upper respiratory infections during the quarter, and that has now continued in January and in February. So the current flu season is weaker than in ages. That one contributes a certain amount. We can't impact that one. It comes and it goes. Then we have the macro level item, which basically means that as a post-cyclical company, the macro catches us later. So companies -- when you have a continued sluggish macroeconomic environment, companies tend to invest less in their people, but they started -- that's the final place where you want to cut on your investments. That's why it hits us a bit later than in some other industries. And that one we can work on. We can concentrate on client value, we can concentrate on delivering highest possible impact with an efficient motor, but we can't hide away the fact that when companies start reducing their investments at one point of time, it also impacts us. But we have a clear action plan, both on how we capture back the growth irrespective of the macroeconomic environment and then how we utilize our efficient motor when we capture that growth. So we are in a positive place in that one from a plan perspective, and we are confident that we deliver on that one. The public sector has been now remembering that we talk about the Healthcare Services, where the capacity sales is a minor part of the total offering. It has been in a weak position for a long time because of the wellbeing counties, first setting them up, then chasing costs. But now the environment starts to stabilize little by little, and we have seen some positive signals. But at the same time, it is still fairly unpredictable market on which I come later on the coming slides. And then we have the positive momentum from the consumer. We have both the insurance market, where the number of insured continues to grow slightly, but also we have a strong market share and really appreciate offering for the insurance companies. And then the Kela 65 has produced positive volume growth and continues to deliver positive volume growth for '26. So all in all, we know what is happening. We have our action plan, and we will deliver according to that action plan. Then if we look Portfolio Businesses, we have a clear profitability improvement that has continued. We also -- it's good to acknowledge that previous year Q4 was a difficult one. And now we are obviously clearly improving on that one. The revenue was contracting because of the outsourcing contracts according to plan. It's also good to note that we have been very solid in steering those contracts and running those contracts, and they have now started to deliver also profits, which have been contributing Q4 results. Staffing, this trend is still partly of our own selections earlier, but at the same time, the market continues to do difficult. We have seen some positives in the total market environment, and we have been gaining market, but wellbeing counties are still in the cycle, where they are evaluating how they operate in the future. Dental and the private continues to be the positive part of this story. We have been able to grow the top line, grow the bottom line, and we are trending the right direction. And then you have seen our investment in Hohde. If we then look on Sweden, the market continues -- continue to be difficult. It's good to note that the operational efficiency is improving. We are ramping up on the EBITA percentages. We have on the EBIT percentages slightly declined on a noncash related impairment item, actually positive impairment from previous year Q4. So all in all, we are in plan. We are delivering. We are bringing the efficiency up, which we have done. And now we are in a place where we can start to utilize also this platform in an efficient manner and start ramping up the revenues. And the pipeline there is strong for the future. So we are confident on Sweden. But obviously, then the market conditions and the employment levels continue to be challenged also in the Swedish market. If we then talk about investments, I think that in here, what is happening is exactly what we have told. We have said that we are ramping up our investments in digital, and we are also doing physical investments. On the digital part, Ville explained about Ella, about the one-click journey. Those are a couple of the highlights. We have the MedHelp cooperation that we launched last year in the second half is now starting to deliver actual output during Q1 in '26. So what is important to note that when we do an investment, the investment cycle is fairly short from start of the investment to actual use of the digital asset is happening. Ella, it is the UI for the professionals. It's already in use by hundreds of doctors and the next phase rollouts are now happening actually as we speak. MedHelp, we have now -- we are now in a status where we have started to introduce it to our clients, and we are in the first rollout in Q1. So also this one is progressing. It is not a promise in the future. It is an action today. And that one, we will continue. We will continue in investing both organic and inorganic growth also in the future. And now with the M&A agenda, we have the Hohde transaction, a couple of smaller bolt-ons and so on. And then on the focus part, we divested the child welfare. That leads to cash flow. I have nothing new to say on this topic, but would have not been repeated for the past 12 quarters or whatever. We continue to deliver cash. Whatever we do in the bottom line, we do in the bank accounts also. EUR 207 million cash flow, slightly soft. There's a timing component on the accounts payables. Last day of the year was now a banking day, and we are responsible towards our vendors who are -- most of them are small and we pay on due dates. Pushing one day forward, those payments would have made actually a visible number change on this number, but that's not how we operate. Leverage 2.1 continues to be all-time low. When we want to invest, we can invest. We have the powder in our leverage ratios. And once again, referring back to Hohde that one is under the competition authority approval, so not yet visible in the leverage ratio until we gain approval and then we both get the business on to our end and hand over the money to sellers. Looking back on our financial targets. We have 3 targets. EPS growth, 10% per year. We also told that '25 will be clearly better than that 10%. We are now at 0.73, 29% up. Net debt to EBITDA being below 2.5, but can trail above it when an M&A occurs, we are 2.1. And then the leverage dividend -- attractive dividends, at least 80% of the net result, EUR 0.64 proposed by the Board of Directors, meaning 88% of the net profits as a total and 33% handsome growth on the dividend for year, assuming, of course, that AGM approves it. And so we do what we promised to do. We have delivered on each of these metrics once again. Then before going into the guidance, it is good to have a few words on the demand environment. When we talk about this picture, what we are saying is that the demand environment is anticipated to improve gradually by the end of '26. So the '25 arrows describe where we are starting the journey this year and '26 is like a balance sheet item. The arrows are describing where we expect to land at the end of this year. So what is happening now is that if we look public sector, it is yellow, and at the same time, we have continuous modest positives. We have some big ones. We do know that there's some big ones in the tender pipeline. There was one that we [indiscernible] won in Q4 last year. But at the same time, the predictability is fairly low. wellbeing counties are now polarizing and how they start to behave is always -- has been always difficult to predict. And for that reason, we are in the yellow part on that one. But still, I need to highlight that there are lots of positive big signals around there that could merit further positives in the future. Consumer market, we have a positive situation, maybe a bit more in dental. And in the total consumer market for '26, we are still positive. This is mainly contributing the Kela 65 and related. In insurance, it is a market where insurance penetration slightly grows still. At the same time, insurance companies are getting better and better on steering their customers and impacting the market. So it is a positive market. But at the same time, last time, the dynamics was the dark green arrow upwards. So we think that, that momentum is not as strong as it was earlier. When it comes to occupational health, we have a strong plan. We had a difficult '25. We are addressing all of our issues. We are confident that we are getting into growth. But now the market will remain challenged during '26 in total. And Sweden, we are seeing that the improvement for '26 is in the pipeline. So with this type of market dynamics, we come to our guidance. Our guidance for '26 is EUR 135 million to EUR 165 million of adjusted EBIT, '25 EUR 156 million. So basically, we are guiding a corridor, where we have room to improve, but also based on the market conditions, we can be weaker than this year. The estimates are basically built on a gradually improving market environment or demand environment. We already know as a fact that first half upper respiratory diseases will be clearly below previous year. You have seen how it behaved in Q4. You can go to see our open data sources to see how January, February up to week 7 have been behaving or up to week 6 at the moment, have been behaving. So we know as a fact that it will be a difficult flu season for the first half of the year. And then we are expecting for the second half normalization. So with all of that one, it means that our first half will be below '25 due to the market environment, due to the upper respiratory diseases. But when we go forward, then we are seeing gradually improving markets. Portfolio Businesses will continue to reduce by some EUR 20 million on the revenues on an annual basis. And then finally, our guidance is not including material acquisitions. That includes Hohde transaction also. We do not know when it closes, and it's not included in these numbers. So with all of this one, I think we are going for a, in absolute terms, solid '26. But of course, in relative terms, there are also scenarios where we can be weaker than in '25. With these ones, let's invite Kati back on to the stage and let's start the Q&A.
Kati Kaksone: Thanks, Juuso. I think that we are now ready for questions. Do we have any questions from the phone lines?
Operator: [Operator Instructions] The next question comes from Sami Sarkamies from Danske Bank Markets.
Sami Sarkamies: I have a couple of questions. We'll be taking this one by one. Firstly, starting from the outlook for this year. First question would be that why do you expect first half to be down from last year in terms of profits? I guess market conditions were pretty difficult already in the second half last year, but we didn't see profitability falling below the comparable period. So why is first half more challenging than second half last year?
Juuso Pajunen: Well, if I start and Ville can complement. So if we look at the current status, we do know that the upper respiratory diseases are clearly below Q1 '25, which was clearly above average. So at the moment, that one is already a material visible and known headwind. Then the second component is that if we look our connected employees and the behavior of the employers, the connected employees continue to be some 4% down compared to Q1 '25, and that one contributes to difficulties in H1. And then the current macroeconomic environment, at least for January has not materially improved from the Q4 last year. So the employers are still clearly in the cost saving mode. So with all of these ones and against a very strong first half in '25, this is our expectation that in EBIT perspective, we will be below previous year.
Ville Iho: And then -- yes. The only thing I would add is sort of summing up all of the dynamics in the market. What we see today is frequency of use of the services is down basically in all of the segments. So that is the main contributor. It's cyclical and then it's sort of upper respiratory morbidity type of impact. And it will, of course, turn around, but what we see today in the market is negative, especially against Q1 last year.
Sami Sarkamies: Okay. And my second question regarding outlook would be, can you elaborate on the key uncertainties because we are looking at a pretty wide guidance range for this year?
Juuso Pajunen: Yes. So basically, when we look the guidance and its parameters, the one component is kind of gradually improving demand environment. So the different type of variables in there is that what is the -- in the economic outlook, what will be the status of Finland and obviously, to a certain degree, Sweden's economy, how the employment behaves and how that one impacts on the employers' behavior. So that is one component. Then the consumer purchase power is the second component, which is relevant for us in our private out-of-pocket segments. So these ones put different type of scenarios in the table. In the positive momentum, as you know, we are efficient 20% EBITDA company. We can leverage the positive momentum in a very strong manner, but also if the current trend and the sluggish environment continues, it catches also us. So this is the clear external component. Then the second one is the seasonality related to upper respiratory diseases. That one, obviously, nobody knows how next August starts and how that one behaves in real life. So only way to predict is assuming regression to mean.
Ville Iho: Yes. Maybe still to add, if one looks at us being a little bit negative on Q4, if one flips that one around, once the revenue and frequency of use of services come back, as Juuso said, operating leverage and efficiency is on such a high level that, of course, then it will really yield. But as sort of a very simple answer, it is the demand and specifically frequency of use of services, which is the -- it's not unknown, but that will then dictate on which end of the spectrum we will end in our guidance.
Sami Sarkamies: So the lower end of the guidance range that would assume basically no recovery in Finnish macro, consumers not consuming and then, let's say, weak flu season during the second half of this year?
Juuso Pajunen: Yes, that's a fair interpretation.
Sami Sarkamies: Then you mentioned that you're still having 4% lower connected employees. I think that was also the case 6 months ago. So there's been no progress on that front. Can you elaborate on why you haven't been able to improve your market position even though that has probably been one of the key targets?
Ville Iho: Well, if I start, I would say that the -- first of all, as I said, there's a 2-year program whereby we are investing EUR 20 million into our products and services, and we are making good progress in that program. One needs to understand the dynamics, how companies are making decisions and how long those processes are. So even though the operations, our commercial actions and our products have partly been upgraded, partly been already renewed, it takes some time until we can see that one in, first of all, connected employees use of services and profitability in that segment. But I'm really pleased in how [ Laura ] and our new team is now taking the challenge and pushing us forward. We have tangible things that we have already been able to deliver to our customers and with good response. During Q1, we'll have sort of best in the industry platform delivered to our customers in occupational health care. We have been able to -- a little bit history, last year was difficult from many angles. We had billing issues, et cetera, et cetera. We have been able to rectify those. And with all of these sort of soft points, we are or will be very soon clearly the market leader. And over time, the demand will be there.
Sami Sarkamies: Okay. Then I wanted to touch on the one-off costs you had in Q4, EUR 30 million. I think you were not supposed to have this anymore after sort of the Alpha program. I understood that these are mostly related to Sweden, which doesn't generate any results at the moment. So can you elaborate on what kind of return on investment we will see this year if you have paid about EUR 10 million as sort of consulting success fees related to Sweden?
Juuso Pajunen: No, let's first kind of correct. Sweden is by far not EUR 10 million on that one. You will see actually the final page of the report, you see also the adjustment items per segment. We have EUR 3.5 million in Sweden for Q4 and EUR 5.6 million on the full '25. So that is just to be clear that Q4 numbers, we have a component in Sweden. We took an extra push that included roughly 40 employees. In the admin part, we have digitalized, centralized and taken a huge leap in the admin part in Sweden, and that has yielded both a success fee component and a restructuring component. That was above our expectation, but that one will also basically improve our competitive advantage or competitiveness in the market and make us very, very efficient on that one. So I think that is a money well spent when we show that we can make money in Sweden. Then for Sweden to reach its full potential, it will require also positive development in the top line that for the full potential is definitely needed. Then if we look on the other adjustment items, we have an impairment related to divestment of child welfare roughly EUR 4 million. And then we had a tax dispute that is in the ballpark of EUR 2 million. And that is visible above EBITA because it has been seen as a cost -- operating cost on our profitability. So with all of those ones, Sweden program has ended. We have a minor program ongoing in the portfolios. And then we have the program Ville has in -- stating continuous 2-year program in occupational health competitiveness. That one is the occupational health program we have been talking about in Q3 and/or actually maybe already after Q2 release. And that one will continue. That is the only kind of worth mentioning program when we are going to '26 and '27.
Sami Sarkamies: My final question would be on the dividend proposal. You're raising the payout ratio from 84% to 88%, even though we may be looking at a down year when it comes to earnings. What is the logic here? Because you're also doing M&A. So why you're sort of upping the payout ratio?
Juuso Pajunen: Well, if we look now the numbers, so basically, first of all, we are confident for '26, we are confident for our future. We have a balance sheet that is clearly below our leverage target, even if you assume that would have happened already on 1st of January this year. So first of all, we have a capability to do so. We have one of our financial targets as an attractive dividend to our owners. It doesn't limit our growth opportunities. And at the same time, now if you look the child welfare, it is accounting-wise negative, but cash flow-wise, positive. And if you just kind of calculate from there, I think 88% is totally merited.
Ville Iho: Yes, maybe just to complement, it's very much, as Juuso said, down to confidence. So now we are talking about headwinds in the market. One needs to remember that the underlying megatrends in our business, combined with the efficiency that we have been able to build into the machine over time will generate improving profits. And this is 1 year in a chain of years with positive outlook.
Operator: The next question comes from Anssi Raussi from SEB.
Anssi Raussi: I have a few questions left. I have to continue on Sami's question about the outlook for 2026. So of course, we have been discussing about your operational improvement throughout 2025 and your Q4 EBITA and EBIT grew quite significantly year-over-year. So then if we think about '26 and your comments about improving market towards the end of the year, so is the missing piece here pricing? Or -- because, of course, you have been talking about defending or gaining volumes in 2026 and that being maybe the most important focus area.
Juuso Pajunen: So maybe if I start, the current market environment is not such that pricing or hefty price increases would be a topic in our toolbox. So that -- the competitive environment is such that pricing will be clearly in a different place compared to '23, '24 where we had also kind of high inflation or post high inflation environment. So that you could, in your narrative argue that, that is some kind of a missing piece in the total. Then what comes to the Q4 year-on-year improvement, it's good to note that in Q4 previous year, we had the onetime bonuses that we paid to all employees. We had the collateral labor agreement component also coming to all employees. So our Q4 '24 was not in a way as weak as it looked like from outset. So if we take an operational performance, we had a strong performance in Q4 '25, but you shouldn't take just kind of a comparison Q4 '24 to Q4 '25 without taking that mental adjustment, then you see that we didn't take any more that significant leap as the numbers indicate.
Kati Kaksone: And maybe just to add on that. So the volume remains to be the key component. So in the first half, we're not going to be seeing improving numbers in the volumes because of the reasons that we already discussed. So the -- increasing the connected employees within the occupational health care will take some time. That will not be visible in the first Q1, especially. And then we have the other volume drivers at the moment going against us. But we do expect those trends, especially the connected employees to gradually then increase towards the end of the year. So that's the operating leverage driver there.
Anssi Raussi: Those are good clarifications. Maybe I continue on diagnostics, which volumes declined. I think it was almost 12% in Q4, which is clearly more than the number of physical appointments. So of course, you mentioned your customers being in savings mode maybe right now, but is this only due to occupational health care customers downgrading their service packages? Or was there also something else relating to your own operations?
Ville Iho: Yes. That's part of the answer, which you mentioned. Then looking at just sort of diagnosis mix when we are lacking a certain part of our upper respiratory diagnosis, and then, for example, MRI scans are less. So there are sort of clear logical explanations looking at sort of a core mix of the service needs that impact the volumes in diagnostics.
Juuso Pajunen: I didn't fully capture your number logic. So just a reminder that we were basically workday adjusted 7.6% down. And even if you take that workdays in there, it was 1.6 positive. So we are, give or take, 6% down while the revenues are 5% down. So actually, we have a positive pricing/mix component in Healthcare Services. Then if we look the total group revenues and you compare that one to the visits, then you are kind of combining 2 different topics that are not fully in sync. In total -- in the total group numbers, we have the reduction in staffing, which is not visit related and the reduction in outsourcing business, which is not visit related. And then we have the reduction in Sweden where we don't record the visits either. So you need to be a bit careful when you are taking those bridges.
Anssi Raussi: Okay. Yes, I was just looking at this number of diagnostics in Q4 year-over-year now. I think --
Juuso Pajunen: Yes.
Anssi Raussi: -- but yes, that's clear. And maybe final question and a simple one on your guidance as you guide EBIT. So could you give us an assumption how depreciation and especially amortization will develop in '26 compared to '25?
Juuso Pajunen: Well, basically, if we look on the amortization, obviously, we don't guide those numbers. If I hint you on the mathematics, you can go to balance sheet. You have seen that we have increased our investments, especially in digital items. Those ones will gradually hit the amortization in the income statement in the coming years. So you can fairly easily take the notes and you can see there the increases, decreases and you can from there deduct. But obviously, increased investment base will mean at one point of time, increased amortization.
Anssi Raussi: Yes, try to see some Excel then.
Juuso Pajunen: Yes, let's take it offline. I can show you some Excel skills.
Operator: [Operator Instructions] The next question comes from Joni Sandvall from Nordea.
Joni Sandvall: A couple of questions left for me. Maybe a question on the EUR 20 million investment that you are taking to address the changing needs of customers. So how much OpEx base is going to increase because of these actions in '26 and '27?
Juuso Pajunen: So basically, let's put that one that the EUR 20 million is a collection of investments already made and investments coming. It includes, for example, the MedHelp investment that you see directly from our balance sheet also and then it is a further pipeline that we are doing. So I think that the proper view is once again to take on our tangibles, take the balance sheet, see the increases in there. And in our depreciation and amortization description, I think we say that the amortizations are 3- to 5-year period depending on the asset we are generating. So then you can from there evaluate the OpEx impact coming into the future or the amortization impact coming there in the future. And then if we take a look on the total OpEx, obviously, these investments would be investments unless they improved our revenue or reduced our cost base. And all of these ones are positive investments as such. Of course, then the quality improvement is an important factor and so on. But in the end, the idea of investment is to contribute in our profitability in the future.
Joni Sandvall: Yes. Then the second question on the Hohde acquisition. How confident you are actually of the approval of this from the market authority, given it consolidates the market quite a lot.
Ville Iho: Of course, we -- it's not in our hands, but maybe we can say that we made a very, very thorough analysis on the competitive landscape and what type of overlaps we have based on different experts and sources. And we are very confident in our plan. But then again, not in our hands, it's authority who makes the call.
Juuso Pajunen: Yes, I think that Ville explain it through. Then of course, if you want to make your own assessment, it's fairly easy to look at the market dynamics, you see that we will -- even by doubling the revenues, we will be #2 in the market and our market share wouldn't probably start with #2. So from that perspective, of course, when you look at the total process, you can evaluate yourself how confident you are, but we are confident.
Ville Iho: Yes. And that specific reason was one of the drivers us to start investing into this area. We saw that with our sort of average market share as high as it is, dental services is very good, a nice complement to our existing services and there we have room to grow, as Juuso explained in market share numbers.
Kati Kaksone: Okay. I believe we don't have any further questions from the phone lines, but please we'll take one from the audience now.
Roni Peuranheimo: Yes. Roni Peuranheimo from Inderes Oyj. Maybe about the insurance customers still, the growth rate declined here a little bit, and you see that the demand isn't as strong as it was earlier. So maybe what's behind this? I think it went from dark green to lighter green.
Ville Iho: Yes. We take a couple of steps back. First of all, the insurance coverage continues to grow, which is positive. So the underlying element for growth are there for the future. Then as we equally know, insurance companies with the health insurances, they have been struggling with their profitability. They have implemented certain kind of steering mechanisms, which you also alluded to and gates and guardrails in how they are then sort of allowing services to steering guiding services for their customers. And all in all, even though we can be pleased with our own progress and our sort of success in gaining market share, the overall market reacts to a couple of years of very high morbidity and certain type of services sort of gain through insurances and this whole sort of equation and combination yields to sort of a flattish development during sort of first part of the year and then the recovery in the second.
Roni Peuranheimo: All right. Then about the public market, you had there the yellow or flat demand and you mentioned that you see some positives. So is there also some clear possible negative drivers in '26?
Juuso Pajunen: Yes. I think that in the total, the difficulty with public sector is to predict it at the moment. I think that I've been standing throughout the 3 years here quite many times saying that now it opens up. And at the same time, it has not opened up. There are so many things that are not in our hands and the predictability makes it a bit difficult. So we have positive signals. You may have seen us winning a process with Hohde in December with a positive revenue impact and so on, and we are gaining -- winning contracts. But at the same time, wellbeing counties are polarizing at the moment. There are those like Pirha who went for the big outsourcing that unfortunately, Pihlajalinna won and who are willing to take progressive measures jointly with public sector -- private sector. And then at the same time, there are those ones who are still very cautious. And how that dynamic plays out is simply difficult to predict. But we are positive in the total opening up, and we are confident that it will happen, but putting a timeline on that one is the reason why it is on yellow.
Ville Iho: Yes. And back to your point, is there a downside? We are starting from such a low demand and very passive buying behavior. So it is quite difficult to see further downside in this business.
Roni Peuranheimo: All right. Then one more about the occupational health care. You emphasized the post-cyclical nature and given that the Finnish unemployment the macro still weakened last year. So -- and you also mentioned that you anticipate growing connected employees. So maybe talk a little bit about how much the growth is in your own control versus the macro and maybe about your sales pipeline at the moment.
Ville Iho: So if we start from sort of dynamics, as I said earlier, there's a lag in how we see the numbers against our actions, specifically in this segment. And I'm pleased with the progress of our program. Our win rates have been improving already during Q4, Laura and the team and the commercial team in there, they are doing a good job. What we cannot so much impact is frequency of use and the scopes of the services, which will then follow more the cyclical nature of this one. Now the companies have been in saving mode. They are also in a situation where you have a great supply of employees in almost all of the industries. So they are not sort of under pressure to improve the benefits for their employees. And this is cyclical, and we have seen this one happening many times. When the things -- when things turn, of course, this will turn as well. So a lot of this one is in our own hands, specifically when we think about the number of connected employees, use of the services more on the corporate side and more cyclical.
Kati Kaksone: Thanks, Roni. We still have a couple of minutes time, so I'm going to be a bit selective on the questions that we have received from the webcast. Maybe let's talk a little bit about the drivers and the dynamics in the Healthcare Services. Could we please open up a little bit the drivers of the high profitability in the current Healthcare Services segment? And is that improvement sustainable in the longer term?
Juuso Pajunen: Now we need to split that one into 2 different components. Is the improvement sustainable, meaning that can we improve quarter-by-quarter or year-on-year like we did from Q4 '24 to Q4 '25? No, we can't. In Q4 '24, we had in the underlying numbers, the onetime items, or the onetime bonuses that I referred earlier. And that one makes the improvement slightly better looking than it in real life is. Then on absolute level, we are in a positive place. We have a huge operating leverage. So from that perspective, when we get back on growth, when we get the yields on our occupational health projects that one will contribute to our profitability also. So there's 2 different answers, but the operating leverage is the key when you are looking to future. We have much to gain in this segment.
Ville Iho: Yes. And as I said earlier in the presentation and comments, exactly as Juuso said, we have been able to improve profitability against lower revenue line, very, very weak macro. Operating leverage has been improving, strengthening the efficiencies there. So that will then yield improving results once we get the revenue line in order. That's very clear. And in that sense, it is sustainable, again, coming back to the fact that underlying megatrends are positive for demand of the Healthcare Services.
Kati Kaksone: Then finally, a couple of words on the M&A landscape. Do we see any activity beyond the current ongoing transactions? And what are the most attractive segments that we are currently looking at?
Juuso Pajunen: If I start and Ville can complement. I think that the M&A market activity has been gradually increasing throughout '25. It was very low in '23, '24, maybe especially in '24. And now we see that the market starts to be active. You can view it from different angles. There's IPO activity in Helsinki. There's transactions happening throughout Nordics and Europe little by little. So now there starts to be a market and little by little, of course, then you can start picking that what are the value-creating opportunities you want to capture. We have been continuously stating in our agenda that we have selective agenda in portfolios. Well, now we have obviously the Hohde in there, which will be hopefully close during this year. And then we have stated that in Sweden, for example, gaining scale and gaining efficiency -- after gaining efficiency, gaining scale would make sense. So that has been the other place that we have highlighted that we could look. And then obviously, in Healthcare Services, we are always checking out the smaller bolt-ons that would complement our white spots like we did in ophthalmology when we acquired Pilke in December.
Kati Kaksone: Thanks. With that, any last words before we close the webcast Ville?
Ville Iho: So again, great quality, great efficiency, great profitability, market under pressure, underlying trends supporting long-term growth with sustainable improvement agenda with us. So looking positively forward into H2 this year and specifically '27.
Kati Kaksone: Thanks. With that, have a great rest of the day and/or upcoming weekend. Thanks for joining.
Ville Iho: Thank you.
Juuso Pajunen: Thank you.